Operator: Thank you for standing by. This is the conference operator. Welcome to the Fiscal Fourth Quarter and Unaudited Full Year 2022 Results Conference Call for Quip Home Medical Corp. [Operator Instructions] We remind you that remarks today will include forward-looking statements that are subject to important risks and uncertainties. For more information on these risks and uncertainties, please see the reader advisory at the bottom of the company's results news release. The company's actual performance could differ materially from these statements. At this point, I'd like to turn the call over to Chairman and Chief Executive Officer, Greg Crawford.
Gregory Crawford: Thank you, operator, and thank you all for joining us today on the call. My name is Greg Crawford, and I'm the Chairman and Chief Executive Officer of Quipt Home Medical. Joining me today is Hardik Mehta, our Chief Financial Officer. I want to start by thanking the more than 900 Quipt team members for their ongoing commitment to delivering first-rate patient care in order to enhance the quality of life for each and every patient we serve. We are able to successfully run a patient-centric ecosystem across the entire company by collaborating with our key sales touch points, which include health care providers like hospitals, doctors, rehab centers and long-term care facilities. Our ability to harness the technology platforms we have established over the past few years, along with our specialized clinical respiratory programs, has made it possible for us to efficiently treat patients at home in a way that best meets their needs with the ability to monitor patients in greater numbers, reduce organizational redundancy and lower overall health care costs. The high touch service model we employ geared towards enhancing the quality of life for all of our patients is what distinguishes Quipt in the market. As we carried out our strategic growth plan and future vision, fiscal 2022 has been another active and successful year for Quipt, which included 37% year-over-year revenue growth and continued strong margin stability. For us, it goes without saying that offering a full range of end-to-end respiratory solutions is essential to maintaining our success and a significant growth factor in our key markets. Our objective to grow from a regional to a national at-home respiratory care provider is well underway. And as we enter 2023, we are very enthusiastic about all of our progress. Above all, our primary goal continues to be to provide the best possible treatment to over 200,000 patients that currently make up our patient ecosystem. As we move towards a post-pandemic environment, we have placed a renewed emphasis on growing our sales team, and we are making meaningful progress with this initiative. During the peak of the pandemic, our sales activities were restricted by access restrictions in the health care settings. We can now interact with our main sales touch points more actively, which we anticipate will fuel organic growth in the future. To that end, we are concentrated on regions with a high prevalence of COPD focusing on hospitals with high readmission rates with the aim of obtaining patients sooner in their illness stage, which is a key factor to our overall growth plans. With a focus on our record-breaking fourth quarter and full year fiscal 2022 performance on this call, I will update you on the regulatory landscape, which continues to be the best in over a decade and the current supply chain environment and our core business, which continues to be strong. We are operating in an extremely bullish regulatory environment, which was most recently evidenced by the Medicare fee schedule adjustments resulting in a significant CPI increase for DME providers for calendar 2023 of 6.4% to 9.1%. The percentage depends on whether products serviced our competitive bidding program items or in former competitive bidding areas. This CPI adjustment is extremely meaningful for us in 2023 as we have seen margins stabilize and believe peak inflation has already run through our business to date. As a result, we believe that the CPI increase will have a materially favorable effect on our net income in calendar 2023. Moreover, starting in 2023, CMS has eased restrictions for home oxygen therapy by discontinuing the long-standing requirement for patients to obtain certificates of medical necessities, relieving the administrative burden for health care providers and providing better accessibility to patients. Additionally, access has been open for patients who visit the emergency room setting and patients diagnosed with either chronic or acute respiratory conditions will now have coverage for home oxygen therapy. These changes are all excellent for our company. Finally, the underlying positive regulatory environment is anchored by the decision CMS has made to cancel the 2021 competitive bidding program for 13 product categories. The cancellation of this program has provided us with a clear margin outlook across our product mix and ensured our patient stability for the foreseeable future. We are glad to see these ongoing favorable regulatory improvements because the need for the home medical industry has never been greater. Turning to the supply chain environment. We expect to see major improvement in calendar 2023, with the expectation that exiting calendar Q1, we will be back to pre-pandemic supply levels. We saw steady and timely inventory allocations of sleep devices through fiscal Q4 and in real-time in fiscal Q1 and continue to drive patient setups. This real-time development is anticipated to be a powerful tailwind and to significantly contribute to our organic growth in the upcoming year. Looking at the financial performance for our business, our team of operators once again delivered exceptional results, in particular, the robust margin profile maintained during this period of high inflation. In fiscal Q4, we saw revenue of $40.1 million, putting us on a run rate of over $160 million and bringing our total to $139.9 million for fiscal 2022. Once again, a 37% increase over fiscal 2021. We saw healthy operating cash flow, consistent bad debt expense, and our adjusted EBITDA margin was very strong at 20.9% for fiscal 2022 and 21% for fiscal Q4. This performance exemplifies our ability to aggressively scale and increase revenue through strategic acquisitions without compromising our billing capabilities and overall margin profile. The infrastructure we currently have in place offers us the freedom to add locations to our platform as well as successfully integrate assets that have been purchased. Our strong team is focused on our continued growth and enables us to seize opportunities across all of our product categories and markets. We have once again had robust growth throughout the year, focusing on the effective use of technology, streamlining workflow procedures to increase operating effectiveness and expanding our comprehensive resupply program, all of which continue to produce reliable results. We have several opportunities to increase our geographic presence into appealing areas during 2023, thanks to our financial flexibility, operational resilience and the best regulatory environment we've experienced in well over a decade. In summary, Quipt has had an extraordinary year reaching nearly $140 million in revenue, achieving over $29 million in adjusted EBITDA, growing to 94 locations in 19 states and surpassing 200,000 active patients, all while maintaining our impressive operating margins. As we prepare for another year ahead, we continue to be excited about what we have achieved to date and what the future holds, all while continuing to be laser-focused on increasing shareholder value. With that commentary, I'd like to hand the call over to Hardik to discuss our fourth quarter and full year fiscal 2022 financial results.
Hardik Mehta: Thanks, Greg. Here are some key highlights. Through the company's continued use of technology and centralized intake processes, respiratory resupply setups and/or deliveries increased to 231,495 for the year ended September 30, 2022, compared to 158,072 for the year ended September 30, 2021, an increase of 46.4%. The company's customer base increased 23% year-over-year to 173,203 unique patients served in fiscal year 2022 from 140,996 unique patients in fiscal year 2021. Compared to 364,367 unique setups deliveries in fiscal year 2021, the company completed 516,328 unique setups or deliveries in fiscal year 2022, an increase of 41.7%. Revenue for fiscal year 2022 was $139.9 million compared to $102.4 million for fiscal year 2021, representing a 36.7% increase in revenue year-over-year. Recurring revenue as of fiscal year 2022 continues to be strong and exceeds 77% of total revenue. Adjusted EBITDA for fiscal year 2022 was $29.2 million at 20.9% margin compared to adjusted EBITDA for fiscal year 2021 of $21.4 million, representing a 36.5% increase year-over-year. Net income for fiscal year 2022 was $4.8 million or positive $0.13 per fully diluted share compared to net income for fiscal year 2021 of a loss of $6.2 million or negative $0.20 per fully diluted share. Revenue for Q4 2022 was $40.1 million compared to $29.1 million for Q4 2021, representing a 37.8% increase in revenue year-over-year. Adjusted EBITDA for Q4 2022 was $8.4 million, at 21% margin compared to $5.5 million for Q4 2021, representing a 54% increase. Adjusted EBITDA margin continues to be strong and in the midst of inflationary operating environment. Cash flow from continuing operations was $26.3 million for the year ended September 30, 2022, compared to $17.8 million for the year ended September 30, 2021. For fiscal year 2022, bad debt expense was at 8.7%. This exemplifies our ability to scale and add more revenue through add-on acquisitions without compromising our billing capabilities. Operating expense for the year ending September 2022 was 46.6% compared to 43.8% the corresponding period in 2021. The company reported $8.5 million of cash on hand and total credit ability of $96.5 million as of September 30, 2022, with $11.5 million available towards the line of credit and $85 million available on [indiscernible] . Current assets totaled more than $41.5 million compared to $41.7 million in net short-term liabilities. We take pride in the ongoing execution that is evident in the strength of our fourth quarter and full year fiscal 2022 performance. For our fiscal fourth quarter and fiscal full year, we have revenue of $40.1 million and $139.9 million, respectively. Full year adjusted EBITDA margins were also very strong at 20.9%, given the present inflationary environments and the acquisitions made in fiscal 2022 that created a short-term lag to margin, we are very pleased with the margin stability and expect margins to improve further as calendar 2023 progresses. Additionally, we believe that the recent CPI adjustment announced will have a meaningful positive impact on our net income in calendar 2023. Through fiscal 2022, we have significantly improved our organizational capabilities, which includes any fantastic new team members across key areas of the business. The ongoing operating results are very encouraging, and we believe we have created a strategy that regularly and successfully promotes growth. Our recurring revenue base has stayed tremendously robust at 77% of our overall revenue base, which gives us additional security and consistency as it relates to our financial reporting. The scale we are gaining combined with the powerful tailwinds, such as an increase in the number of Americans with various chronic illness and aging U.S. population and the need for health care to be provided and monitored in the home continues to enable us to produce consistently solid financial results. From an M&A perspective, during calendar 2022, we successfully completed 5 acquisitions and in the fiscal fourth quarter added Hometown Medical, which greatly enhanced our presence in the attractive state of Mississippi. The 5 acquisitions in calendar 2022 added over 45,000 active patients, $35 million in revenue and over $7 million in additional adjusted EBITDA once integration is completed, which are all currently on schedule. On September 19, we announced the closing of $110 million in senior secured credit facilities with CIT Bank, a division of First Citizens Bank and Trust Company. The senior secured credit facilities are comprised of a term loan facility in an aggregate principal amount of $5 million, a delayed draw term loan facility in an aggregate principal amount of $85 million and a revolving credit facility in an aggregate principal amount of $20 million. The senior credit sales as another validation of our business strategy. In spite of rising inflation and supply chain constraints, our operational resilience has allowed us to maintain trend in our cash flow, margins and revenue base. As we approach 2023 with ample financial resources, we are well positioned to continue to implement our growth and acquisition strategy and increase shareholder value. As we work towards our long-term objective of becoming a national provider of home health care in the United States, we continue to adhere to our strict criteria along with our integration processes, which has been the catalyst of our consistent revenue growth of over 35% displayed on an annual basis. As a health care organization with the concentration on respiratory treatment, we feel well insulated from any potential economic challenges given the nature of our business and sector. As Greg mentioned, our current acquisition pipeline and enhanced balance sheet provides us significant opportunity, and we anticipate being active as we move into 2023. Thank you. And with that update, I'll turn the call back to Greg.
Gregory Crawford: Thanks, Hardik. Quipt is actively expanding across the country, completing hundreds of thousands of deliveries to more than 200,000 active patients with over 21,000 referring physicians across 19 states. In terms of revenue, we estimate Quipt is presently the fifth largest HME supplier in the United States. This gives us the scale and opportunity to find ways to grow our patient base and penetrate attractive markets while continuing to streamline our operational platform. By carrying out the crucial elements of our growth strategy, such as making attractive acquisitions, investing in future organic growth development and expanding our health care network across the nation, we anticipate continued momentum going into 2023. A major milestone achieved was the nationwide insurance contract from UnitedHealthcare, the biggest health care insurer in the country. As we continue on our aggressive growth strategy, this arrangement with UnitedHealth has greatly increased patient accessibility. With regard to securing additional national insurance contracts in early 2023, we have a high degree of confidence, and we will keep collaborating with sizable commercial payers to help them comprehend the advantages of our robust patient-centric strategy for both patients and payers. We have the opportunity to take a land-and-expand approach to future growth, thanks to our valued commercial insurance contracts and robust physician referral network and sizable patient base we have amassed. As we can see from the existing landscape, a substantial effort is being made to ensure that a patient is treated in a home care setting wherever possible. As a result, we will continue to focus on ascertaining the best ways to develop our connection with referral sources, which will continue to benefit our organization. Whether it is through the continuous usage of our automated ordering systems, revenue cycle management or through our automated subscription-based resupply program, we continue to invest in technology to increase our operating efficiencies. These efforts help the business create long-term value, enable us to keep raising productivity levels. Furthermore, investments in our scalable connected healthcare platform fuel cash generation, targeted margin expansion, accretive acquisitions and organic sales growth. And additionally, this helps promote compliance enhances results and increases patient engagement. Additionally, we may encourage early treatments, lower hospital stays and track the effectiveness of treatment plans, all of which are advantageous to payers. I would now like to review with you the 3 components of our core growth strategy as we move into 2023. First, through our initiatives for organic growth, we are completely focused on increasing market share in a way that is both profitable and economically sound. This includes growing our sales team, which is how Quipt reaches important touch points like hospitals, doctors offices and rehabilitation facilities. Extending patient accessibility by signing additional national insurance contracts with significant payers in the U.S., expanding into synergistic product categories, providing numerous cross-selling opportunities across our existing and future patient population, considering opening brand-new locations to supplement the current infrastructure in all of our markets. Second, we will look to continue to deploy technology across the business to enhance operating results. This includes our robust respiratory resupply platform, which keeps us on the forefront of the market in terms of technology implementation and offers us excellent revenue synergies on the acquisition front. Strategic acquisitions make up a third element of our growth plan. We are searching for turnkey respiratory businesses that can easily be incorporated into our scalable platform. We are concentrating on economically building scale with the strategic objective of diversifying our payer base and growing our geographic reach into both new and existing states. We have the financial flexibility to execute on our acquisition pipeline, which should provide us with ample opportunities to continue to grow revenue, EBITDA, our patient base and overall geographic reach, we expect to be active in 2023. Thanks to the reintroduction of in-person investor road shows and conferences, the company has been active in the capital markets front in 2022. This has been the first opportunity for U.S. investors to interact in person since the NASDAQ listing in May of 2021. Our amazing story has only just begun to be told, and we see many opportunities to broaden the caliber and geographic diversity of our shareholder base. We have already seen our institutional shareholder base increase as well as our overall U.S. ownership throughout 2022. As a health care organization with a concentration on respiratory treatment, we feel well insulated from any potential economic challenges given the nature of our business and sector. As we move into 2023, we will continue participating in important conferences and taking part in investor road shows. As of fiscal Q4, we set at over $160 million in run rate revenue and over $33 million in run rate adjusted EBITDA, we are very confident in our aggressive growth trajectory as we move into 2023 and look forward to updating investors on our successful progress. When I consider how our business has developed, I am incredibly proud of the entire team for their perseverance and commitment to going above and beyond. The outcomes are the direct results of those efforts. We are continuing to strategically position the company for continuous strong growth. And given the industry's bullish landscape, we must continue to be proactive in seizing the numerous possibilities that are currently available to us. We have all the tools necessary to carry out our aggressive expansion strategy, thanks to our operational excellence and our pristine balance sheet, which includes or $110 million in senior credit facilities. We are extremely optimistic about what the future holds for Quipt in our more than 200,000 patients we care for. Once again, I would like to take the moment to thank the entire Quipt team for its tireless efforts and its stakeholders for all of their continued support.
Operator: [Operator Instructions]. Our first question comes from Doug Cooper from Beacon Securities.
Doug Cooper: Thanks for the very comprehensive uptick, Greg and Hardik. When I look out into 2023 across your various products, can you give us a sort of outlook by category, say, between oxygen, CPAP and events where you see growth like is one more than the other? Or just a bit more color on the growth of each of the products?
Gregory Crawford: Thanks, Doug. That stayed pretty steady for us in that -- actually, over the past several years in that with that product mix in that, and we would continue to expect that in that to stay on that kind of 80% respiratory side and the other 20% being kind of other invert DME supplies and things like that and other supplies as a total percentage of revenue, although we are starting to look at different product categories that can complement in that those -- and help those other respiratory patients that we do have. But I don't think there'll be any big swing in that as a percentage of revenue in 2023.
Doug Cooper: Okay. Hometown Medical closed, I guess, early July, and you almost got a full quarter contribution, I guess, from that in the quarter. Is there any -- are all the acquisitions, say, from access to NORCAL, you could maybe -- are all of them fully integrated now? Or do you anticipate any more cost savings along the line?
Gregory Crawford: Yes, that's a very good question in that. I'll say we're winding down in that the complete integration of those and looking out into '23 and that especially with the CPI increases that have came out. And then we also believe that peak inflation that is likely run through the business should we kind of stay the same on that front in that, that there could likely be some pickup in the margin as we complete the full integration of those acquired businesses, especially the ones that were kind of towards that, we'll say, June, July time frame.
Doug Cooper: Okay. And last one for me. Just that you talked about your growth -- the three-pronged growth strategy, increasing the sales team, to add more to the sales team. Can you quantify that? And are you looking to grow the sales team by 10% kind of thing? Or what -- maybe just give more color on that?
Gregory Crawford: Yes, sure. That's been something that has -- frankly, has been a little bit of a struggle for us just through the pandemic and everything and really the access points in that more than anything, we'll be able to make those call points. But we've consistently seen that open up and that to where they've been able to have face-to-face meetings and presentations in that. So we would expect this year in that to and increase that 50%, and that would kind of be the bar -- the low part of the bar on that. We're well on our way to get that done in that. We've consistently been adding additional reps. It does take some time to get them ramped up and that to where they're really contributing in that 6-month-plus or so. So we're pretty excited about '23.
Doug Cooper: Okay. And Hardik, just sort of when can we expect the filings on SEDAR to be done?
Hardik Mehta: Pretty soon. Obviously, the deadline is the 28, but we expect to do it sooner than that.
Doug Cooper: Okay. But not -- won't be out today, you think?
Hardik Mehta: Not today.
Operator: Our next question comes from Rahul Sarugaser from Raymond James.
Rahul Sarugaser: Congrats on the rep growth this year. So I just wanted to check in on the guidance of $180 million top line by the end of calendar year, given that we've seen how much in July, partial contribution. How is the company tracking towards that guidance?
Gregory Crawford: Yes, sure. So that was some guidance that was given on exiting in that our fiscal Q1 '23 number here in that, which is the calendar in that. So I'll say we do have a little, ways to go. We haven't reported those numbers yet, and that will be in February. It's hard for us in that to predict the timing in that of some of these acquisitions in order to kind of give out in that exactly when that's going to happen, but we do have a very high confidence level in being able to meet that outlook.
Rahul Sarugaser: Okay, great. And if you don't mind if I just drill a little bit further. So in order to meet that outlook, you probably need to be adding about $20 million in annualized or just less than over Q1 towards the end of the calendar year. And so even if we estimate sort of smaller acquisitions, that's around 4-ish. So could you maybe give us a sense, even though timing is a little less unpredictable, how we should be thinking about the number of acquisitions in order to get that -- hit that target and sort of the general sort of size of those acquisitions to hit that target?
Gregory Crawford: Yes. Well, we continue to remain focused on all three prongs in that of our acquisition strategy in that. So with the smaller sized companies, say, 5 million are under and then also kind of those key -- turnkey respiratory in that, that would be in that $5 million to $20 million and then also in that continue probing through additional larger acquisitions. So it's really hard to kind of give what's going to make it to the finish line with that timing and that on those particular acquisitions, whether it's 1 or it's 3 and that to kind of get us there.
Rahul Sarugaser: Okay, that's helpful. And then as we look forward into 2023, or calendar 2023, given sort of the rising rate environment, given sort of the compression on multiples more generally out there, how are you seeing pricing of deals in your pipeline? Are they static? Or do you find that there is -- you're able to pick up assets at slightly cheaper prices given the current environment?
Gregory Crawford: Yes. Sorry about the pause of silence in that, I believe, Hardik, in that was answering that question, but having --
Hardik Mehta: Sorry. I'm sorry.
Gregory Crawford: There you go.
Hardik Mehta: Sorry to hold. This is Hardik. My bad, I probably had been mute somewhere. I guess my response was going into 2023, we certainly believe that some of the reasons that you just explained would contribute into some kind of adjustments mostly in the favor of a buyer. The magnitude of that is kind of skilled GBD. Generally, we are seeing markets having a slightly lower multiples than what it used to be 3, 4, 5 months ago. But again, from the ones that we are actively working on, they are kind of in the pipeline, but the newer ones, we do expect it to be in favor of a buyer, can't speak to the magnitude of it just yet.
Rahul Sarugaser: Okay. That's helpful. Wishing you the best of luck for the next year.
Operator: Our next question comes from Tania Armstrong-Whitworth from Canaccord Genuity.
Tania Armstrong-Whitworth: On the sleep device backlog, I think you mentioned in your prepared remarks that your -- the supply levels are approaching pre-pandemic levels. Are you able to quantify where that backlog sits today?
Gregory Crawford: Yes. As far as the backlog in that, we're not monitoring it quite like we were before in that because it -- the supply chain in that has drastically improved for us really in real time in that as we're in our fiscal Q1 here, and we expect that to continue into '23, if not, even -- some items even become off of allocation and that, that we're able to order in that. So we've just been laser-focused here and that as we've gotten towards calendar year-end in that towards setups rather than looking at what the backlog is.
Tania Armstrong-Whitworth: Understood. Okay. So we could still see that kind of bubble of increased volume as that backlog has been alleviated in fiscal Q1?
Gregory Crawford: We are seeing an increase in the amount of setups in that -- during this quarter due to availability of inventory.
Tania Armstrong-Whitworth: Okay. Excellent. And then next I think I missed this somewhere, but did you disclose organic growth for the quarter?
Hardik Mehta: Yes. Just to make sure I heard this correctly, what's the question, what was the organic growth for the quarter versus Q3?
Tania Armstrong-Whitworth: Yes, correct.
Hardik Mehta: Yes. So frankly, the organic growth was pretty flat from Q3 to Q4 specifically with the addition of hometown, if you factor that in, I think organic growth was pretty flat.
Tania Armstrong-Whitworth: Okay. And then lastly, on the labor side of things, I know you mentioned that you're starting to grow your sales team a little bit. But even when it comes to the other qualified members of your labor base, what have you seen in terms of wage inflation in the last few months?
Gregory Crawford: Yes. We've seen it stay pretty steady in that. And I think a good way to gauge that and that for us is really look at how efficient has the organization became and look at that labor as a percentage of revenue in that, which is stayed in relatively in the same range really that it has. But we're truly -- we are seeing significant increases in salaries. There's no question about that. But at the same time, in that our talent pools got much better. So we've been able to create a lot of efficiencies throughout the organization and that have really kind of helped with the overall labor expense.
Operator: Our next question comes from Christopher Pu from IA Capital Markets.
Christopher Pu: Just calling in for Chelsea. Just a couple of quick ones from me. In regards -- just a follow-up to Tanya's question about the sleep devices. What's the status of any like updates for the sleep device? Is there any like implementation of like new sleep devices once this current backlog eventually clears? I'm just kind of wondering about that.
Hardik Mehta: As Greg mentioned earlier, right, we are seeing some influx of how fresh inventory coming in. We are also getting indications from our suppliers that as we go into Q2 2023 or calendar Q1, some of the restrictions that were in place, even those restriction have reduced over the last couple of quarters, but even whatever the minimum restrictions they still have in place or allocations they have in place, which should be fully lifted by end of calendar Q1. So that said, we really don't -- based on our market intelligence and the communications we are having with our vendors, we believe that by end of Q1, calendar Q1, there shouldn't be any shortage as far as devices are concerned.
Christopher Pu: All right. And my last question is, is your company going to provide like a run rate guidance for calendar year 2023?
Hardik Mehta: No, I think at this point, we would not, but maybe sometimes later in the year and there are a few things in the pipeline that we are not at liberty to discuss at this point. But maybe once we have those all materialized or got to the finish line one way or the other, maybe that would be a good point of time where we would discuss some guidance.
Operator: Our next question comes from Bill Sutherland from the Benchmark Company.
Bill Sutherland: I wanted to just in on organic growth for a minute. I wanted to just see if you could help us understand the trend in 4Q and then a little bit more. And then with the various components that you mentioned that will add to organic growth in the current fiscal year. If you could help frame that in some way, I'm not sure if [indiscernible] want to talk about the kind of level of growth you think is possible with these various factors, but that would be great.
Hardik Mehta: Sure. So maybe I'll refrain from [indiscernible] some of the things, but I'm glad you asked that question because I thought I probably didn't do it justice to my response to Tania's question. If you go back in time and look over the last 4 quarters or last 6 quarters, specifically how the recall took place and the device shortages started affecting, there is a casketing effect of those things, right, from review setups to eventually a tax setting effect of the recurring increase of that business, which is resupplies that you put in place in every 3 months. And I think what you see here in the last Q3, Q4 time frame is us kind of hitting that bottom from that casketing effect. And I think from what we are looking at in terms of fiscal Q1 '23 and going forward, now we are going into the reversal of that casketing effect where you would now see not only the device setups are increasing, but then as you go into the next few quarters, 3, 4 of 2023 and going into Q1 of 2024 as well, we will start seeing the -- again, the good casketing impact of new setups with increased recurring supply that continues to grow and you see the full impact of that about at least 5 quarters out is when you kind of max it out, right, in terms of recovery you got from the additional setups that we are going to do starting this quarter. So I think that kind of explains why Q3 and include in Q4, the expected organic growth or where not a thing compared to our historical standards. So again, glad for asking that question because I think I should have included that as a response to Tanya's question. I think going into 2023, certainly, there should be some increased tailwinds as a result of what I just explained. On top of that, there is a CPI increase as well. You guys all can do the math. Medicare has been a decent percentage, almost 40% of our revenue, 35% to 40% of our revenue. And the weighted average, if you look at the CPI increases from 6.4% to down 9%, so somewhere in between is where we would put a weighted average. So we can all factor in what that organic growth would look like just from a CPI increase plus the additional growth from this availability of devices and the recurring nature of those, we do suddenly expect us to, at a minimum, hit our historical growth rate, which was kind of somewhere between 7% to 10% in the past to hit in 2023, again we hope that we actually see that. But at minimum, we would like to at least go back to where we used to be, which is still substantially higher than the market growth rate of about 4% to 5%.
Bill Sutherland: Great. That's great detail. And so -- okay, I suppose you're including the plans on the sales force expansion, [indiscernible] locations, product line expansion. I mean I feel like there's a lot of pieces here that kind of make 7% to 10% very easy bar to get over?
Hardik Mehta: You said 7% to 10% is pretty easy bar?
Bill Sutherland: It feels like. Is that what you said?
Hardik Mehta: Yes, we would feel like that too, frankly speaking, but we obviously don't want to -- if you followed our story, you would obviously try to commit to what we think we can minimally do, but we certainly should further [indiscernible]. We're not obviously forecasting the starts, but I think given the very basis what we think, we can certainly achieve given the tailwinds.
Bill Sutherland: Okay. Great. That's all I have. Thanks, Hardik.
Hardik Mehta: Thanks. Sure.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Greg Crawford for any closing remarks.
Gregory Crawford: Thank you, operator, and thank you all for your participation today. As always, you can find us on the web at quipthomemedical.com, where we will be posting the transcript of this call on the site, you can also view some of the exciting products and developments discussed on this call. Thank you, and happy holidays to everyone.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.